Michael Jolliffe: Good morning, everybody, and welcome to our fourth quarter and 12 months 2020 earnings conference call and webcast. I’m Michael Jolliffe, the Chairman of the Board of StealthGas. And with me on our call today is Harry Vafias, the Chief Executive Officer of StealthGas, along with our Finance Officer, Fenia Sakellaris. Before we commence our presentation, I would like to remind you that we will be discussing forward-looking statements, which reflect current views with respect to future events and financial performance. At this stage, if you could all take a moment to read our disclaimer on Slide 2 of this presentation. Risks are further disclosed in StealthGas filing with the Securities and Exchange Commission. I would also like to point out that all amounts quoted, unless otherwise clarified, are implicitly stated in United States dollars. Slide 3 summarizes the key highlights of our fourth quarter 2020 results that we released today. Our market environment in this last quarter of 2020 remained fairly unchanged compared to quarter three 2020. Main reason for this flat market is, of course, the ongoing COVID-19 pandemic, which greatly affects LPG demand. Vaccine delays, along with the recurring lockdowns, prevented any meaningful recovery, particularly in the European region. Admittedly, we faced a far tougher market in Europe than in Asia, where trade, although primarily spot, was indeed more stable and at better freight rates. Given this environment where new time charter activity was quite negligible, our presence in the spot market was even stronger than in the third quarter of 2020, with more than 16 vessels operating predominantly on the spot market throughout most of the quarter. Hence, trading risks were high with voyage costs and off hires, thus undermining our earnings potential. Even in this difficult market, StealthGas demonstrated quite strong performance and managed to end the quarter with a profit. We were resourceful and versatile in adapting to these soft market conditions and leveraging upon our expertise, even managed to improve spot earnings stemming from the Asian region. We also need to mention that this quarter, we took an expected and aggregate from our medium gas carrier operations as 2 out of our 3 medium-sized gas carriers underwent their scheduled dockings within quarter 4, thus producing an operating loss. Focusing on our operations, our fleet utilization for quarter four of 2020 was 98.5% with about 60 days of technical off hires as a result of the drydocking of 2 small LPGs. In terms of our operational utilization, this came in at 93.6%, mainly due to more than 16 of our ships operating predominantly in the spot market, equivalent to 29% of our voyage days. Going forward, we have about 50% of our fleet days secured on period charters for the remainder of 2021, with total fleet employment base for all subsequent periods generating $81 million in contracted revenues. Including the time charter agreements with our joint venture structures, total secured revenues increased to close to $92 million. During the fourth quarter of 2020, we sold for further trading our oldest small LPG vessel, the Gas Pasha, which is 1995 built. Moreover, earlier this month, we took delivery of an 11,000 cubic meter pressurized ice class newbuilding LPG, the Eco Blizzard, thus completing our capital expansion phase. Looking at our financial performance highlights. Our voyage revenues came in at $37.3 million, marking an increase of $2.1 million compared to the same period of last year. This was primarily due to the increase of revenues stemming from our larger LPGs and 6 vessels coming off bareboat, including the 4 ships redelivered due to the bankruptcy of our charterer. Compared to the third quarter of 2020 our daily time charter equivalent decreased by about $500 a day as our spot exposure increased, so did the voyage costs incurred, thus suppressing our daily time charter equivalent earnings. With an adjusted EBITDA, excluding impairment charges, that is, of about $14 million, our adjusted net income came in at $1.1 million, corresponding to an adjusted EPS of $0.03. Our capital structure remains solid with low gearing, a strong cash base and 0 capital commitments in the near future. It is quite interesting, however, to comment on our annual performance. In spite an unpredictable and tough market, this was a good year for StealthGas given that excluding non-cash items, we generated a net income of almost $17 million, corresponding to an earnings per share of $0.44. Indeed, our strong results are mostly attributed to the performance we had during the second quarter of 2020, but still, it should be noted that all of our quarters this year ended with a profit in spite of the difficulties that we faced. Slide #4 provides an analysis of our fleet employment. In terms of charter types, out of the fleet of 42 operating vessels, including our 8 joint venture vessels, we have 5 of these on bareboat, 26 on time charters and 11 in the spot market. Regardless of the difficult economic environment since our last announcement, we concluded 10 new charters and charter extensions. Since that intervention that the majority of these charters were concluded from the beginning of February onwards when period activity visibly picked up. This can be either attributed to seasonal factors or it could possibly be the first sign of our market’s gradual recovery. Our period coverage for the remainder of 2021 is in the order of 50%, while currently our period coming through the first quarter of this year is in the order of 74%. With these deals, we managed to preserve our contracted revenues in the order of $80 million. Including our joint ventures, total secured revenues increased to about $92 million. In Slide 5, I would like to provide a summary update as to our two joint ventures’ performance. Our first joint venture, which comprises in its majority of small LPG vessels, currently has 3 out of the 5 total vessels under time charter contracts. The time charter contract for the medium gas carrier, the Eco Nebula, was recently extended for another 3 months. All vessels operating in the spot market throughout the last quarter of 2020 marked an improved performance as all of these vessels traded in the Asian region. Focusing on our second joint venture, comprising of 3 medium gas carrier vessels, these are all under time charter contracts, thus producing a steady cash flow. Two of our vessels, the Gaschem Bremen and the Gaschem Stade, underwent their scheduled drydocking within quarter 4 2020, thus affecting profitability for the quarter as the drydocking and off-hire costs combined were close to $2 million. In terms of our fleet geography presented in Slide 6, our company focuses on regional trade and the local distribution of gas. This graph is a snapshot of the positioning of our LPG vessels, excluding our joint venture vessels, as of February 15, 2021. Currently, we have 15 of our LPG vessels trading in Europe, 16 vessels trading in the Middle East and Far East, and 4 vessels in Africa and 3 in America. I will now turn the call over to Fenia Sakellaris for our financial performance.
Fenia Sakellaris: Thank you, Mr. Jolliffe and good morning to everyone. We will continue the presentation focusing on our financial performance for the fourth quarter of 2020. As mentioned earlier in our call, increased spot activity during the last quarter of 2020 suppressed both our revenue and profitability potential. Let us move on to Slide 7, where we see the income statement for the fourth quarter of ‘20 against the same period of the previous year. Voyage revenues came in at $37.3 million, marking a $2.1 million increase compared to the same period of last year. This increase is attributed to a 50% reduction of bareboat activity and a rise of time charter revenue stemming mostly from our larger LPG vessels. Voyage costs amounted to $5.3 million, marking a 30% increase compared to Q4 ‘19 as our spot exposure increased by 82%. Based on all of the above, our net revenues for the period were $32 million, corresponding to a net revenue margin of 86%. Running cost of $14.6 million marked about 16% increase compared to Q4 ‘19, mostly attributed to 6 fewer vessels on bareboat now operating either on time charter or in the spot market. Increased crew change and medical cost due to the COVID-19 pandemic add to our operating cost base as well. Drydocking costs came in at about $1 million, corresponding to drydocking of 2 small LPG vessels. We have 8 scheduled drydocking for 2021. All of this drydocking with a budget of almost $3.5 million are for small LPGs and are currently apportioned evenly throughout the quarter. Based on all of these, our adjusted EBITDA is in the order of $13.7 million. Interest and finance costs marked close to $1.4 million decrease, mainly attributed to LIBOR decrease and the lowering of our debt. Our finance costs would have decreased even further had it not been for swap interest, which this quarter due to very low LIBOR levels was in the order of $500,000. We are currently above 35% hedged, and swap interest will continue to remain at this level as long as LIBOR remains so low. With regards to income from our JVs and as mentioned earlier in our call, losses incurred this quarter are attributed to the drydocking of two of our medium gas carriers at the cost, including off-hire cost, of about $2 million. Based on all of the points analyzed above, we ended the fourth quarter of 2020 with an adjusted net income of $1.1 million, corresponding to an adjusted EPS of $0.03. We further on added to this year’s profitability. So for the whole 12 months of 2020, our adjusted net income is $17 million, corresponding to an adjusted EPS of $0.44, a good performance given the difficult market condition. Slide 8 demonstrates our performance indicator for the period examined. As mentioned earlier on, our operational utilization for Q4 ‘20 was in the order of 93.6% and 96.1% for the whole of 2020. In terms of our adjusted time charter equivalent, we noticed a rise on an annual basis of about 600 daily and now it came mainly due to improved charter rates from small LPGs, which prevailed at the beginning of 2020 that is prior to the COVID-19 pandemic. Improved time charter rates for our 22,000 CBM semi-refrigerated vessels, and the time charter contract for a single Aframax tanker currently producing a strong revenue. Looking at our balance sheet in Slide 9, our free cash is in the order of $38 million while, to date, we have no further capital expenditure, which means no cash commitments in the near future. Our gearing is now in the order of 37.3%. Based on our scheduled principal repayments, we will reduce our leverage by around $40 million per year. We have no balloon refinancing obligations for 2021 and have already completed the majority of balloon refinancing for 2022 as well. I will now hand you over to our CEO, Mr. Harry Vafias, who will discuss market and company outlook.
Harry Vafias: We proceed with Slide 10. As market uncertainty brought upon by the COVID-19 pandemic still prevails, it’s very difficult to firmly assess our market’s future. We can, however, provide a summary, commentary as to LPG trade and possible scenarios going forward. In 2020, global LPG loadings amounted to 141.8 million tonnes, marking an annual decline of 2.1%. LPG imports to China marked a moderate decline of 0.2%, while LPG trade contraction in the EU was sharper as imports fell by about 4%. Focusing on the EU, the lockdown during the second quarter of 2020 took out significant demand for small LPG ships. Added to this, trade scaled down on a combination of lower LPG from refineries combined with weaker industrial and Autogas demand. Petchem trade also scaled back in 2020. However, as per Grieg shipbroker analysis, petchem volumes are expected to increase by 8% in 2021, backed by both trades recovering from the COVID-19 lockdowns as well as the new U.S. ethylene export volumes. On Slide 11, we see that during Q4 2020, rates for small gas ships remained fairly stable. It’s, however, too early to assess if stabilization of rates is due to seasonal factors or it can be deemed as a first sign of a gradual market recovery. Looking at the small LPG trade West of Suez, all throughout the fourth quarter, the spot market continued to be challenging for owners. Since the beginning of February, activity increased and should things continue to improve, as the COVID-19 vaccination process intensifies, you might see a better second half of 2021. Period activity has picked up as well as we have seen a few fixtures particularly for the 5,000 cubic meter vessels. East of Suez market was better than in Europe. Both LPG and petchems have been reasonably active, and owners have managed to avoid any significant idle time. The period market was relatively low with some charter renewals and a few short-term time charters. An increase in spot levels in the near future might probably lead to charterers deciding to take more time charter tonnage. Regardless of the current situation, which is driven by global economic conditions, our segments, specific fundamentals, that of an aging fleet, low order book remained positive and will likely accelerate our markets’ recovery rate once the broader economic environment permits. The small LPG pressurized segment has substantial old tonnage. 31% of the fleet is above 20 years of age. Since our last announcement, we have recorded the demolition of 4 small ships. It’s highly likely that we will witness increased demolition activity within 2021. As per recent published orders, there are 20 vessels that’s about 8% of the total fleet, to be delivered until the end of 2022 with no registered orders for 2023. On Slide 12, we discussed our company’s outlook commencing with our share performance since the beginning of 2020. The performance of our stock is presented along with selected gas carriers peer group and the price of oil. Since the beginning of last year, the majority of the shipping stocks follow a broad correlation to oil price volatility. It’s worth mentioning, however, that most shipping stocks struggled during most of 2020, mainly due to the broad market generalization surrounding the negative impact of COVID-19 on the shipping industry. In reality, most shipping segments, including LPG, had a fairly good year, given market circumstances that is, hence, company valuations should have been far better. Focusing on our company, we currently trade at about 25% to 30% of NAV that we deem to be very low given both our stated profitability along with our robust balance sheet. On Slide 13, we are outlining the key variables that will affect our performance in the quarters ahead. Given the market turmoil, it’s quite difficult to make firm predictions. We have as related a few key points that may assist our financial performance in the upcoming quarters. First point is that we have a total period coverage of about $95 million in precontracted revenues. In addition, we operate several vessels in the spot market, which poses a risk but at the same time gives us significant operating leverage should period activity pick up and market rates firm further. Although we are reluctant to give any numerical predictions, we have calculated that even a small $500 daily increase in spot rates will increase our EBITDA by about $4 million. Moreover, we have all of our 22K semi-refs and MGC vessels on time charters at improved rates while the majority of our tankers are also in period charters, producing a solid cash flow. Fourth point is that we are under a very low LIBOR rate environment. Hence, our finance cost will decrease even further. Last but most importantly is that should vaccines bring the pandemic into remission, we anticipate our market to leverage on its strong fundamentals and recover at quite a fast pace. However, on the downside, we have 17 vessels concluding the period employment up until the end of 2021. Moreover, we have 8 drydockings to complete within the year, thus building our cost base. Concluding our presentation with Slide 14, we present a brief summary of our company’s end market strong points. And given our good performance, particularly amidst an unusually difficult year, we feel even more confident that we will perform much better should our market begin to show glimpses of improvement. At this stage, our Chairman will summarize our concluding remarks for the period examined.
Michael Jolliffe: The year 2020 will always be remembered globally for reasons associated with the COVID-19 pandemic, and the shipping world was not spared. With regard to the segment we operate in, LPG demand marked a decline and rates for the majority of the subsegments we operate in were soft, particularly during the second half of 2020. The tanker market was affected as well as currently, rates are at very low levels in the shipping cycle. On top of that, we were hit with the bankruptcy of one of our charterers, which had to redeliver 4 of our ships earlier than we had previously agreed. Nevertheless, with an adjusted net income of almost $17 million, corresponding to an adjusted earnings per share of $0.44 generated in 2020, we feel positive for 2021. Looking ahead, we recognize that market turbulence due to the COVID-19 pandemic might last possibly even throughout the whole of 2021. However, we can leverage upon our strengths, including our solid cash base and balance sheet, our low gearing and the significant operating leverage we have as – including our joint vessel – our joint venture vessels, we operate a fleet of 50 ships. As our shares trade at low levels, we strongly believe that this is an opportunity for potential investors as we have a long-standing record of a steady and prudent company with a low leverage and a strong position in the segment in which we operate. We have now reached the end of our presentation, and we would like to open the floor for your questions. So operator, please open the floor. Thank you.
Operator: Thank you, sir. [Operator Instructions] We have a question and it comes from the line of Randy Giveans from Jefferies. Please go ahead with you question, sir.
Randy Giveans: Thanks, operator. Howdy, gentlemen, how is it going?
Harry Vafias: Hi, Randy, hope you are well.
Randy Giveans: Good. Yes, yes, yes. All is good here in Houston post freeze. Now can you comment on some of the rates and durations for the 10 new charters? Were they higher, lower, about the same as the expiring contracts? And then also, for your numerous vessels on spot, are you looking at charters on those coming soon or do you want to keep some spot exposure?
Harry Vafias: Yes. Thank you, Randy. As you understand, because we are in the soft part of the cycle, especially with COVID still being around, obviously, we don’t want to fix too many ships on longer charters at very low levels. So the idea is to try and fix ships in shorter charters just to protect us, let’s say, for the rest – for the next 3 to 6 months, and then hopefully, if we see a better market, try and fix more ships at higher rates. We don’t want to lock ourselves in into loss-making or breakeven charters.
Randy Giveans: Okay. And then details on the current charters?
Harry Vafias: We don’t give those, but I can tell you they are about at the same levels as previously announced.
Randy Giveans: Got it. Alright. That makes sense. And then looking at the first quarter how has utilization and day rates kind of performed here in the first 2 months of the quarter?
Harry Vafias: Listen, as you know, it’s a bit early to say. But I have to say that it looks a bit better than Q4. That’s why we said in the beginning of the call that we are slightly optimistic. But we don’t want to start popping champagne bottles yet. I think we are a bit early.
Randy Giveans: Okay. And then I guess lastly, just looking at your fleet, are you content with where it is now or should we expect more vessel sales and purchases coming soon? And then also on that, any thoughts on additional tenders or share buybacks as your price is obviously at a massive discount to NAV?
Harry Vafias: As you know, starting from your second question, at the beginning of the first COVID wave, we did a share tender buyback, which was a good thing to do for us and our shareholders. It was a bit risky, timing-wise, because this was the beginning of the COVID nightmare. Obviously, if the COVID problem gets shorter, then the stock is still at these levels, definitely something that we will put in front of the Board. But today, I don’t think it’s something we are going to be discussing with the Board because we’re not yet out of the woods. But you know us. We have done a lot of share buybacks and tender offers when we see that we have a solid balance sheet and things look good. As I said, I think we are slightly early. Now on the strategy, again, we don’t have any big plans now with things being a bit wobbly. But yes, selling older ships and maybe replacing some of them with younger units maybe something we will look at, but it’s not our priority right now. We sold our older ship, with the Gas Pasha, as you might have read, 1995 ship, so very, very old ship for further trading, which shows that there is still appetite for buyers to buy really, really old ships and not take them for scrapping.
Randy Giveans: Got it. Alright. Well, that’s it for me. Thanks so much.
Harry Vafias: Thank you, Randy.
Operator: [Operator Instructions] We appear to have no question at this point. So I hand the conference back to you.
Harry Vafias: We’d like to thank you all for joining us at our conference call today and for your interest and trust in our company. We look forward to having you with us again at our next call for our Q1 2021 results in May. Thank you very much.